Operator: Thank you for standing by. This is the conference operator. Welcome to the K92 Mining 2025 Fourth Quarter Financial Results Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to David Medilek, President and COO. Please go ahead.
David Medilek: Thank you, operator, and thanks, everyone, for attending K92 Mining's 2025 Fourth Quarter Financial Results Conference Call. We hope you and your families are doing well. In addition to myself, we have on the line, John Lewins, Chief Executive Officer and Director; Justin Blanchet, Chief Financial Officer; and Rob Smillie, VP, Exploration. I would also like to remind everyone that after the remarks from management, the call will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes and risk disclosure in our MD&A and Slide 2 of the webcast presentation. Also, please bear in mind that all dollar amounts mentioned in the conference call are in United States dollars unless otherwise noted. Now I'll turn it over to John to provide you with an overview.
John Lewins: Well, thank you, David, and welcome, everyone. We begin with safety, K92's highest priority. While this report covers the 2025 fiscal year, we're deeply saddened by the tragic incident last month that resulted in the death of a contractor. As previously disclosed in our February 6 release, the incident involved a contractor supporting roadwork activities near the Kumian camp, operating in the designated contractor area located approximately 1.5 kilometers northeast and 8 kilometers northwest of the process plant and underground mine, respectively. Initial investigations by both the contractor and the MRA have now been completed. Mitigation measures have been implemented and a progressive managed restart of the contractor service activities has commenced. Minimal impact to the project construction time line is expected. The health and safety of our workforce, our entire workforce, including contractors, has been and always will be our highest priority. Circling back to the fourth quarter and 2025, the company recorded no lost time injuries, marking 10 consecutive LTI-free quarters. A new integrated safety management and compliance system is being progressively rolled out on the site to further improve our health, safety, environment, quality and training management. Over the past two years, there's been a substantial increase in field-level risk assessments, hazard identifications, safety observations, safety technologies and safety team capacity and capabilities, all strong leading indicators of the safety-first culture. Safety always is one of K92's core values, and we remain steadfast in our commitment to achieving our ultimate goal, zero harm across the entire workforce. K92 is very proud to have received yet another industry ESG award during the PNG Investment Week Conference in Sydney last December, marking the fourth consecutive year of recognition of outstanding community humanitarian initiatives. The PNG CORE Award recognizes K92's adult literacy program, which since 2021 has supported over 1,000 adult learners across eight local communities and providing basic top vision and English literacy and basic computer skills. We believe that the delivery of these foundational skills is key to a long-term empowerment of our host communities. Moving on to operations. During the quarter, the Kainantu mine produced 47,178 ounces gold equivalent with cash cost of $768 per ounce gold and all-in sustaining costs of $1,619 per ounce gold. On a co-product basis, cash costs of $920 an ounce gold equivalent and all-in sustaining costs of $1,716 per ounce gold equivalent were reported. Now as annotated on the chart, all-in sustaining costs have been notably higher than cash costs since the beginning of 2023 due to K92's significant investment in the Stage 3 expansion with costs expected to decline considerably after delivering the Stage 3 expansion, which will be discussed later in this presentation. We highlight that these temporarily elevated costs still fit well within the lower half of industry all-in sustaining cost curve, which reflects K92's ongoing commitment to cost discipline despite a rising gold price environment. Mill throughput for Q4 totaled a record of 186,198 tonnes. with a head grade of 8.0 grams per tonne gold equivalent and also a moderate positive gold and copper grade reconciliation versus the latest independent mineral resource estimate. For the year, a record 174,134 ounces of gold equivalent was produced, delivering year-on-year production growth of 16% and at the upper half of our production guidance range, which was 160,000 to 180,000 ounces gold equivalent. Cash costs of $695 per ounce, beating our guidance range of $710 to $770 per ounce gold and all-in sustaining costs of $1,308 per ounce, also beating the guidance range for all-in sustaining costs of $1,460 to $1,560 per ounce gold. In the fourth quarter, K92 achieved a major milestone with the official inauguration of our new 1.2 million tonne per annum state-of-the-art Stage 3 expansion process plant on October 16. The first production of salable concentrate in early October and the completion of commissioning in December. The event was attended by the Prime Minister of Papua New Guinea, the Honorable James Marape and then Minister for Mining, now Governor of Morobe, the honorable Rainbo Paita. Other distinguished guests included government representative, landowner leaders, members of diplomatic and business community, the K92 Board and our project partners. The process plant was delivered safely, efficiently and importantly, under budget, marking a major achievement for our construction team. Additionally, the plant has performed extremely well. Since late October, all mine material has been processed exclusively through the plant. Overall metal recoveries for the quarter were 94.3% for gold, exceeding the recovery parameters in the updated definitive feasibility study and 93.9% for copper, in line with the DFS. In terms of key operational quarterly physicals, total material mined of 404,205 tonnes was a record with material movements benefiting from the commissioning of the first material pass in Q3 2025 and the commencement of 30-tonne surface trucks being able to operate in the twin incline in late Q3 2025. Total quarterly mine development was a record 2,787 meters, a 12% increase from the third quarter 2025. Notably, a record of 1,027 meters was achieved in October, supported by the completion of several key infrastructure enablers, including improved power reliability resulting from the commissioning of our new 10.3-megawatt primary power station, improvements in the underground service water supply system and the additional ventilation volumes delivered by the Phase 2 ventilation upgrade. As will be discussed later in the presentation, multiple key enabler projects have been completed in Q1 or are nearing completion, which are expected to continue to drive physicals higher. I'll now turn the call over to our Chief Financial Officer, Justin Blanchet, to discuss our financial results for the fourth quarter.
Justin Blanchet: Thank you, John, and hello, everyone. During the fourth quarter of 2025, K92 generated quarterly revenue of $176.8 million, an increase of 47% from the same period prior year. We sold 40,031 gold ounces at an average selling price of $3,955 compared to 48,851 ounces at an average selling price of $2,564 in the prior year. As at December 31, 2025, there were 14,032 gold ounces in inventory, including both concentrate and dore, an increase of 6,119 ounces when compared to September 30, 2025, due to timing of sales. During the year ended December 31, 2025, we had record annual revenue of $595.2 million. a 70% increase from prior year. We sold a record 159,787 gold ounces at an average selling price of $3,296 compared to 141,159 ounces at an average selling price of $2,356 in the prior year. During the fourth quarter of 2025, K92 had cost of sales of $46.6 million compared to $32.6 million in the same period prior year or $36.7 million compared to $23.8 million when excluding noncash items. The increase in cost of sales was driven by significantly higher tonnes mined and processed when compared to prior year. This is consistent with the higher mining and processing activity associated with the ramp-up of the Stage 3 expansion. During the year December 31, 2025, cost of sales was $156.9 million compared to $142.2 million in the prior year or $126.4 million compared to $106.8 million when excluding noncash items. As previously stated, total costs increased due to the Stage 3 mining physicals ramp-up while realizing a reduction in unit costs on a per tonne basis. During the fourth quarter of 2025, cash flow from operating activities before changes in working capital was $99.6 million compared to $72 million in the same period prior year. For the year ended December 31, 2025, we saw record cash flow from operating activities before changes in working capital of $329.3 million compared to $170.4 million in 2024. K92 recorded a write-down of property, plant and equipment of a net $9.4 million in the fourth quarter of 2025. This primarily related to the old process plant. This adjustment can be reversed if and when we recommission that plant in future periods. As at December 31, 2025, K92 had a record $230.9 million in cash and cash equivalents, a record working capital balance of $262.3 million and a record net cash position of $181.6 million. Importantly, the Stage 3 and Stage 4 expansion projects are fully funded. Our financial position is strong. We also have access to significant amounts of liquidity through an undrawn credit facility with $60 million available to draw down on demand. We would also like to highlight that our commodity price downside is protected through the cost-effective purchase of put option contracts, which extend until the end of 2026, allowing for 10,000 ounces of gold per month at a strike price of $3,500 per ounce. To be clear, this is not a hedge. We will sell at spot if it is higher than $3,500 an ounce. This is insurance, and we will retain full exposure to the upside in commodity prices. As John mentioned, during the fourth quarter, the Kainantu gold operations produced 44,129 ounces of gold, 1,940,781 pounds of copper and 47,427 ounces of silver or 47,178 ounces of gold equivalent. We sold 40,031 ounces of gold, 1,726,051 pounds of copper and 44,162 ounces of silver. During the year, the Kainantu gold operations produced 164,484 ounces of gold, 5,942,203 pounds of copper and 159,309 ounces of silver or 174,134 ounces of gold equivalent. We sold 159,787 ounces of gold, 5,550,751 pounds of copper and 154,404 ounces of silver. On a byproduct basis, we recorded a cash cost of $768 per ounce and an all-in sustaining cost of $1,619 per ounce of gold in Q4 2025. Our all-in sustaining cost in Q4 was significantly below our net realized selling price of $3,955 per ounce, reflecting our strong cost discipline and improved metal price outlook. For the year, we incurred a cash cost of $695 and an all-in sustaining cost of $1,308 per ounce of gold, which was significantly below our selling price of $3,296 per ounce. Importantly, both our cash cost and all-in sustaining costs for the year beat the guidance ranges in 2025. Our 2025 byproduct cash cost per ounce increased to $695 per ounce from $664 in 2024. The increase is primarily due to higher costs as operations ramped up to support the Stage 3 expansion, offset by higher by-product credits. It is important to note that we will see downward pressure on costs via economies of scale as operations ramp up and the Stage 3 expansion is complete. I will now turn the call back to John to discuss 2026 guidance, growth and exploration.
John Lewins: Well, thank you, Justin. Turning to growth and exploration. We begin with an update on the Stage 3 and Stage 4 expansions, which are expected to fundamentally transform K92 into a Tier 1 mid-tier gold producer. As mentioned earlier, the Stage 3 expansion process plant achieved its first saleable production in mid-October, and the plant has been processing all mine feed since the end of October and commissioning was then completed in December. The Stage 3 expansion, as outlined in our updated definitive feasibility study, supports a 1.2 million tonne per annum throughput rate or 300,000 ounces gold equivalent per annum at that run rate. Commissioning of the process plant, as noted, was completed in December. Stage 4 is expected to further increase production through expanding the Stage 3 process plant at a low capital cost to 1.8 million tonnes per annum, producing over 400,000 ounces gold equivalent per annum, targeting startup commissioning late '27. The 600,000 tonne per annum Stage 2A plant, which has been idled, provides additional capacity for future expansion beyond Stage 4. Now looking ahead to 2026, we are guiding yet another year of production growth, targeting 190,000 to 225,000 gold equivalent ounces while making significant sustaining and growth capital investments as we transform K92 into a Tier 1 mid-tier producer. Production is expected to be weighted towards the second half of the year as additional mining fronts come online and ramp up plus major expansion enablers are completed. Growth capital is forecast to be $100 million to $108 million in 2026, comprised of $25 million to $28 million for the Stage 3 expansion capital, primarily the paste fill plant and River Crossings and $75 million to $80 million in Stage 4 expansion capital and accelerated growth capital. Given our strong financial position with record cash and Stage 3 expansion capital now 95% spent or committed as at the end of January, we have taken the opportunity to bring forward several Stage 4 expansion projects into 2026, leveraging our expanded owner's project team and contractors already on site to accelerate Stage 4 project. The delivery of the Stage 3 expansion ramp-up is expected to be driven by several key enablers. Starting with the underground, a major infrastructure transformation is now underway. The Twin Incline internal ramp system and the first material pass are complete. And I'm very pleased to announce that in late February, the Puma Vent Incline has achieved its breakthrough to surface. The development in the Puma Ventilation Drive has been slowed recently due to its proximity to consolidated surficial rock conditions as it approached the breakthrough and being a long single heading. This clearly tied up significant resources for low lateral advance rates. And now that it's complete, resources have been reallocated to focus on high productivity development. With the breakthrough of the Puma Drive and the completion of the internal ramp, we've seen a very significant increase in underground primary ventilation with our latest ventilation survey showing an increase from 200 cubic meters per second to approximately 350 cubic meters per second, representing an increase of approximately 175%. This meets the initial ventilation requirements for the Stage 3 expansion. In terms of the Twin Incline, it has already begun to transform underground material handling efficiencies as shown in the image on the right versus the image on the left, which is the existing incline to access the main mine since commercial production. The Twin Incline can run 50% larger trucks at faster speeds and eliminates rehandling at the portal by hauling directly to the process plant run-of-mine stockpile. We expect these larger 60-tonne payload trucks to be operational around mid-'26 following the completion of the key river crossings and surface haul road upgrades. The productivity gains from the Twin Incline infrastructure will be realized in stages as supporting infrastructure is completed and equipment added. As noted in the previous quarterly update, the first tonnes were tipped down the first material pass in August, leveraging gravity to deliver tonnes approximately 350 meters vertically from the main mine to the highly productive twin inclines. The operation of surface articulated trucks in the Twin Incline continues to deliver material movement benefits and will notably increase upon the introduction of the larger trucks, as noted in the previous slide. The development of a second material pass enabling dedicated separate ore and waste is planned to commence later this month and is expected to be online midyear. On January 24, we achieved a key milestone, which was the completion of the internal ramp. Prior to the completion of the internal ramp, we were effectively running two sets of crews, one for the upper mine, which was accessed by the old incline, as shown in the prior slide and one for the lower part of the mine, which was accessed by the twin inclines. And now as shown in the banner in the image, we are one mine, which means now there is only one crew. We've obviously got better equipment utilization, shorter travel times between work areas and importantly, all mining fronts are connected to the highly productive Twin Incline, resulting in a notable boost to our operational efficiencies. As shown in the images, substantial progress has been made with the 2x1.85 megawatt primary fans now mechanically complete with ventilation having already achieved the initial requirements of Stage 3 expansion, we plan to complete electrical commissioning around midyear. Upon commissioning of the fan chamber, primary ventilation increases to over 600 cubic meters per second and can be expanded to 740 cubic meters per second by benching the Puma Vent Incline. This will more than meet the requirements for the Stage 3 and Stage 4 expansions and life of mine. The fans are variable speed. A single fan will initially be run at a lower speed to conserve power and progressively be ramped up as the operation expands and ventilation demands increase with ultimately two fans being required to operate, but only in a number of years' time. The next phase of the expansion for the full standby primary power station moving from 10.7 megawatts to 15.3 megawatts is progressing on schedule with civil works for the additional generators, switch room and fuel tanks now complete ahead of the arrival of key long lead items. Completion of the upgrade of the 15.3 megawatt is expected around mid-'26. Since commissioning of the new primary standby power station last October, the operation has experienced minimal power disruptions across both the process plant and underground mine, demonstrating the positive impact of the infrastructure upgrades in reducing operational interruptions. Maintaining a spinning generator reserve now enables the primary power station to correct power fluctuations from our hydroelectric grid power that would previously have resulted in mining and processing interruptions and outages. On top of this increased power reliability, we also expect to realize material operating cost benefits from this plant relative to the previous interim power plant configuration as this one operates at notably better fuel efficiency. In addition to completing various infrastructure enablers for the expansion, mine development continues to open up two new fronts the twin incline and the Lower Kora with five and four new sublevels being opened up, respectively. Both fronts are expected to be notable contributors to production in 2026. With a demonstrated progressive ramp-up in development rates, we will continue to advance new sublevels to build greater operational flexibility. Since commercial production, ore has been sourced primarily from a single front, front 1. Front 2 is scheduled to commence stoping in late Q1, early Q2, followed by Front 3 in late Q2, early Q3, ramping up to 1.2 million tonne per annum run rate by year-end and increasing to four production fronts in 2027. Currently, we have meaningful equipment upgrades underway this year, as shown in the table on the left. 4 new loaders are being added to the fleet, three additional replacement with two already operating on site, one of which is shown on the image on the right and two more loaders arriving by June as well as two new underground haul trucks expected in the third quarter. Towards year-end, we'll also add a new development jumbo, an additional explosive loading rig, a cement agitated unit and a new production drill rig to replace the older unit. The fleet of surface trucks is also significantly expanding for the operation in the twin incline with eight new 60-tonne trucks planned to arrive in 2026 with the first batch of six trucks arriving first half of the year. The trucks will haul from the twin incline to the process plant, doubling, in fact, tripling the payroll capacity at much higher speeds than the existing fleet. Five of the 30-tonne haulage trucks arrived on site in the second half of last year, and they're being used initially to augment haulage in the twin incline ahead of the arrival of the 60-tonne trucks and obviously needing the completion of the enabling river crossings to be able to run those 60-tonne trucks. But these trucks will later be repurposed to haul filter cake for the paste fill plant underground. This substantial fleet investment ensures we have adequate capacity to meet not just the Stage 3 expansion, but also the Stage 4 expansion equipment requirements. In terms of the ancillary buildings, interim power station, warehouse, Kumian camp, primary power station, all complete. Maintenance facility, which is a lower priority and not critical for the Stage 3 expansion is targeting completion mid-'26. Significant progress is being made on the surface paste fill filtration plant, storage facility and the underground paste fill plant packages. As seen on the left image, the tailings filter plant facility is well advanced with early electrical commissioning having commenced at the end of February. Paste binder and filter cake storage facility construction is also advancing with detailed design and bulk earthworks and leveling complete. Civil and concrete works are underway for the two larger binder storage buildings in the right of the image. Major excavations for the underground pastefill plant are now complete and sites are progressively being handed over to projects team for construction execution. Civil works have now commenced in the 1205 binder blending and storage area. Overall pastefill plant design is complete. Long lead items are progressively arriving on site. Commissioning of the pastefill infrastructure has already commenced with the tailings filter plant with practical completion of the full pastefill circuit targeting end 2026. The major surface haul road and river crossings projects are also advancing well during the quarter. These projects enable the surface truck payloads to increase from 20 tonnes to 60 tonnes or higher, resulting in lower traffic congestion, faster operating speeds, which will improve cycle times. The work involves upgrading three river crossings as shown in the images plus widening, straightening and gradient improvements in selected areas to improve haulage efficiency and payload. Phase 1, which is focused on the river crossings and haul road widening to enable higher capacity 60-tonne trucks is on track for completion mid-2026. Phase 2, which is focused on road alignment and grading improvements in selected areas of the haul road is scheduled for completion by year-end. In summary, as shown on the Gantt chart and from the prior slides, a significant number of key enabler projects have been completed or nearing completion for the Stage 3 and Stage 4 expansions. I'll now turn it over to Rob Smillie, VP Exploration, to provide an update on our exploration activities.
Robert Smillie: Thank you, John. In 2026, we plan a very big year of exploration. In our guidance, we have guided a record $31 million to $35 million exploration budget in 2026, an increase of more than 50% from 2025, highlighting both the exceptional prospectivity of our land package and our commitment to delivering meaningful near-term resource growth. We currently have seven underground drill rigs operating at Kora and Judd, five surface rigs at Arakompa and Maniape, one at Wera and two additional surface rigs scheduled to arrive in the second quarter. In February, we reported results from 101 diamond drill holes from Kora, Kora South and Judd, Judd South, with results continuing to demonstrate meaningful high-grade growth potential, both near existing mine infrastructure along strike and at depth. At the K2 vein, drilling has expanded the near-mine dilatant zone proximal to the Twin Incline mining front with new exceptional high-grade intercepts, including 20.5 meters at 14 grams per tonne and 10.7 meters at 10.8 grams per tonne gold equivalent. Importantly, this zone sits approximately 50 meters from existing development, positioning it as a potential near-term mining area to be mined via bulk transverse stoping methods following pastefill commissioning. We are also very pleased with the first set of results from Kora Deeps, as shown in the black lips, intercepting thick high-grade mineralization at the K1 vein, up to 350 meters below the twin incline and 250 meters down dip of the 2023 mineral resource estimate outline. Whilst it is early days with approximately 400 meters of strike extent identified to date, this highlights strong potential for continuity of structure and grade at depth, pointing towards longer-term resource expansion. We also continue to extend high-grade mineralization up-dip and along strike at both the K1 and K2 veins with multiple intercepts exceeding resource grades, including multiple 20-plus grams per tonne gold equivalent intersections and see significant growth potential in multiple directions. The results have delineated a substantial high-grade copper zone to the south of Kora with copper grade tenor also increasing at depth within the K1 vein. Magenta represents grades exceeding 4% copper and the consistency of the high-grade copper drilling hit rates is very encouraging as shown in the long sections. At Judd, drilling continues to successfully extend high-grade mineralization, both up dip from the main mine and beyond the 2023 mineral resource with several bonanza intercepts near upper mine infrastructure, including 5.45 meters at 67 grams per tonne and 3.9 meters at 56.75 grams per tonne of gold equivalent. We are also extremely excited to report initial results from the Judd Deeps drilling campaign, where we have intercepted thick mineralization up to 300 meters below the twin incline and 350 meters below the mineral resource outline. Mineralization is now defined over approximately 450 meters of strike and remains open at long strike and at depth, reinforcing the scale and depth potential of the system. Encouraging results have also been recorded at Judd North, a near surface area, representing a prospective up extension that will continue to be evaluated through ongoing underground drilling and planned surface drilling in the second half of the year. The target area geometries are approximately 800 meters strike by 250 to 500 meters vertical as outlined in the triangular dotted black outline with new intercepts including 20 meters at 14 grams per tonne and 3 meters at 15.5 grams per tonne gold equivalent. We reiterate that the Judd vein system remains significantly underexplored and is open in all directions. Overall, these results continue to highlight the strength and growth potential of the Kora, Judd system with drilling expanding mineralization both close to existing infrastructure and at depth, supporting future resource growth and operational flexibility. Exploration activity at the Arakompa vein system located 4.5 kilometers from the Kainantu process plant is progressing well. Drilling is now supported by five active rigs, and the deposit has grown substantially in both scale and geological understanding. We are also starting to drill test the Maniape vein system, which sits approximately 1.5 kilometers west of Arakompa and shows geological similarity to Arakompa. The approximate scale of the Maniape vein system is 1.1 kilometers in strike and 220 meters known vertical. As shown in the graphic, the most recent drilling has expanded the Arakompa bulk tonnage zone to approximately 1.1 kilometers in strike and 800 meters vertically with an average true thickness of 39 meters. The bulk zone remains open in multiple directions and continues to demonstrate strong potential for large near-scale surface bulk mining. We're also excited about the discovery of porphyry copper gold mineralization and drill hole KARDD0065, stepping out 250 meters to the south from previous drilling. This was our first hole testing a 600 by 600 meter copper installs anomaly and it intersected 690 meters at 0.3% copper equivalent, including 395 meters at 0.38% copper equivalent. This intersection is interpreted to be distal to a potential higher copper gold grade potassic porphyry core and marks the first porphyry-related mineralization identified at Arakompa, a highly prospective target for ongoing drilling. This step-out discovery highlights Arakompa's scale and furthers our understanding of the project as a larger integrated mineral system, potentially linking epithermal vein mineralization with an underlying porphyry intrusive center. Our latest drilling also continues to define the high-grade AR1 and AR2 loads along strike and at depth, confirming continuity within the broader Arakompa system. We're also seeing the emergence of a potential high-grade fix zone highlighted by standout intercepts including 7.1 meters at 27.9 grams per tonne gold equivalent, 14.5 meters at 17.3 grams per tonne gold equivalent and 20.6 meters at 9.9 grams per tonne gold equivalent. Together, these results demonstrate strong vertical continuity over 200 meters at a substantial average true thickness of 7.3 meters, reinforcing the potential for a high-grade core within the larger Arakompa system. We are looking to release the next set of results for Arakompa in Q2 and cut off new data in the near term for a maiden resource in mid-2026. In addition to Arakompa and Maniape, we continue to drill test the recently discovered Wera vein system, a large 3.5x3.5 kilometer low-sulfidation epithermal gold system located about 10 kilometers southwest of Kora and Judd. The maiden exploration program focused on rock chips and trenching outlined multiple mineralized structures with numerous high-grade samples, including assays up to 26.3 grams per tonne gold. Importantly, this area has never been accessed or tested by previous operators and lies within the same mineralized corridor that hosts Kora, Judd and Arakompa. There is currently one drill rig operating, and there are plans to potentially increase the number of rigs to two by midyear. We're very encouraged by the potential of this new greenfields discovery and look forward to results from our maiden scout drill program. Lastly, we highlight a significant pipeline of highly prospective exploration targets. The colored icons indicate our current exploration focus and the black icons indicate where we plan to drill in the next 24 months. In the near term, in addition to Maniape, drilling is planned at the Mati Creek Bona Creek target situated within 1.6 kilometers of current mine workings and Judd North. The program will utilize small footprint, highly portable drill rigs set to arrive next quarter. These targets represent the next phase of near-mine exploration designed to expand our understanding of the broader mineralized system and potentially extend known mineralized corridors. Regional exploration will continue to drill test vein-hosted gold 7 mineralization at Wera. Underground drilling will focus on Kora, Kora South, Kora Deeps, Judd, Judd South, Judd North and Judd Deeps. Our record exploration program of $31 million to $35 million is projected for 2026 with the aim of targeting many of these highly prospective targets concurrently. I will now turn the call back to John for concluding remarks.
John Lewins: Well, thank you, Rob. In summary, both quarter '25 and 2025 operational, financial and project delivery performance was strong. Notably, we have grown the cash balance to over $230 million while investing significantly in exploration and long-term infrastructure to support the Stage 3 and Stage 4 expansions. We enter 2026 with strong momentum, forecasting further low-cost production growth of 190,000 to 225,000 ounces gold equivalent, continued execution of multiple key surface and underground infrastructure enabler projects, along with a record exploration budget targeting multiple near-mine and regional prospects on our large, highly prospective land package. Concurrently, we will continue to advance our community projects and deliver sustainable benefits to all our project stakeholders. With that, operator, we're happy to open the line for questions. Thank you.
Operator: [Operator Instructions] The first question comes from Alex Terentiew with National Bank.
Alexander Terentiew: Congrats on another good quarter here. Question for you on 2026 guidance. Is it possible for you to give us just a little bit more granularity on tonnes and grades. In particular, I'm just asking because the mill and mine seem to be ramping up well. I know the Phase 3 official capacity of the mill is about 1.2 million tonnes. But I'm just wondering, any opportunity, especially with gold being where it is to maybe fill the mill? Are there other lower-grade tonnes that kind of wouldn't be part of a mine plan, but could be incremental to production? I'm just wondering how you're seeing that this year.
John Lewins: Well, thanks, Alex. So, I guess, a couple of things there. One is that when you look at the year, year, I think, as we've indicated, is back-end loaded in as much as we'll produce more in the second half of the year than the first half of the year. And that will be driven primarily by tonnage. So, in other words, increased tonnes rather than a higher grade in the second half of the year. And with the ramp-up from underground, as we've indicated there, with the completion of a lot of those enablers in this -- especially in this first quarter with both the internal ramp and the Puma Vent being completed, which, of course, dramatically improves our availability of equipment and especially our ability to more fully utilize our twin boomers front 4 meters of development. That's obviously really important. So we anticipate at the end of the year, we'll be exiting at a run rate of 1.2 million tonnes per annum, but we're obviously not there at this point in time. In terms of overall grade this year, we're looking at around 6.5 to 7.5 grams per tonne. So it's -- and that's what gets us to our guidance of 190 to 225. In terms of opportunities to add tonnes, I mean that's something that we always look to. And in the past, we have been able to add some lower grade tonnes and our lower grade tonnes tend to be like 3 to 4 grams per tonne, which, I guess, by most people's standard would be relatively high grade. But we do have those sort of tonnes that do come out. And we certainly have the capacity for the plant. So tonnage this year is not about the plant. It's obviously about ramping up underground. So we do have spare capacity in the plant. The plant, as was indicated, to date is performing better in terms of metallurgical recoveries on gold than anticipated. I think we're running probably about 94% versus the study of 92.6% recovery. So even at lower grade -- lower feed grades. So likewise, on a daily basis, we've been able to run the plant at significantly higher than an annualized basis at 1.2 million tonnes per annum. So the plant certainly has capacity to do 1.2 million and beyond, which is as expected. So, in summary, grade 6.5 to 7.5, and that's the basis of our guidance. yes, there could be some potential to add tonnes to it, but obviously, we stick with what our guidance is.
Alexander Terentiew: Okay. Sounds good. I appreciate that. And just kind of maybe a fine-tuning question. Production of gold and copper concentrate versus dore, is that any change to what you were anticipating there or what you were seeing previously in the Phase 2a? Or is everything in terms of that split still on par with your expectations?
John Lewins: Look, I think we'd say it's on par with our expectations. It does vary. We tend to find that Judd has more gravity gold than Kora. And sometimes we can get up to 40% from an area, whereas our overall average is more like 10% there's certainly some work that we are planning on doing to see if we can improve our gravity recovery, for instance, by looking at our flash float and seeing if we can take gravity gold out of that. So there are a few things that we've got planned. But of course, the first thing was to get the plant commissioned and get it running in a stable manner. And I've got to say, I've been involved in multiple flotation plants. The commissioning of this plant was the fastest I've seen, which is a real testament to our workforce, which is basically Papua New Guinean. It is -- and of course, to GRES for the plant that they built. But it has been a real pleasure, I see on the commissioning front. You always get a few hiccups, but it really is operating in terms of recoveries better than anticipated. So you can't really ask for much more than that.
Operator: [Operator Instructions] This brings to a close today's Q&A and the K92 Mining conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.